Operator: Good day, and thank you for standing by. Welcome to PLS September 2025 Quarterly Activities Report. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your first speaker today, PLS Managing Director and CEO, Dale Henderson. Please go ahead.
Dale Henderson: Thank you, Maggie. Good morning, and good evening. Thank you for joining us today. I'd like to begin by acknowledging the traditional owners on the land in which PLS operates. Here in Perth, we acknowledge the Whadjuk people of the Noongar Nation. And we also recognize the Nyamal and Kariyarra people on whose land our Australian operation is located in the Pilbara region. We pay our respects to their elders, past and present. Joining me today is Flavio Garofalo, our Interim CFO; and Brett McFadgen, our Chief Operating Officer. We are also joined by other members of our senior team. This call will run for approximately an hour. We'll begin with the presentation on our September quarter performance, then move through market commentary before finishing with Q&A. We'll address questions submitted via the webcast at the end of the session. Now starting with some opening commentary. The September quarter delivered a strong start to FY '26, demonstrating the benefits of our expanded operating platform and our contact ore focused operating strategy. We've continued to build on the momentum from a transformational FY '25, demonstrating resilience and operating discipline through stable production of just under 225,000 tonnes of spodumene concentrate, improvement in lithium recovery to deliver a record quarterly average of 78% lithium and a 13% reduction in unit costs to $540 per tonne FOB. These results highlight the continued optimization of the P850 operating model and the benefits of our deliberate strategy to increase contact ore feed to maximize unit cost reductions. They also affirmed that the Pilgan Plant is now operating in steady state, delivering the scale, efficiency and cost performance we envisaged when we embarked on our expansion journey. Pricing conditions improved materially with a 20% uplift on the prior quarter, contributing to a 30% increase in revenue to $251 million. As the largest 100% owned and operated hard-rock lithium producer, every price improvement flows directly to PLS' bottom line, providing strong leverage to any recovery in lithium pricing and reinforcing our position as a sector's pure-play leader. Underlying operating cash flow remained positive after adjusting for customer receipt timing, and we closed the quarter with $852 million in cash, maintaining a strong balance sheet and significant flexibility to invest through the cycle. Now let's please turn to Slide 2. Beginning with a reminder of our strategy. Our strategy is underpinned by a clear vision to create sustainable value for our shareholders while strengthening PLS' position as a leading long-life and low-cost producer in the global lithium supply chain. Turning to Slide 3. PLS is the world's largest independent hard-rock lithium producer. That independence remains one of our greatest strengths, giving us agility and responsiveness needed in a fast-changing global market. Our foundation asset is a high-quality, long-life Pilgangoora operation in Western Australia. Through our P680 and P1000 expansions, we've established a leading low-cost processing platform that delivers greater scale, efficiency and operational flexibility, firmly positioning PLS at the lower end of the global cost curve. Beyond, beyond Pilgangoora, we are continuing to build a truly diversified growth platform with downstream exposure through our POSCO joint venture in South Korea and early-stage international optionality through the Colina project in Brazil. Importantly, our balance sheet remains exceptionally strong with $852 million in cash and $625 million in undrawn cash (sic) [ credit ] facilities, providing the flexibility and confidence to invest, grow and lead through all stages of the lithium cycle. Turning to Slide 4. Some of the key highlights for the quarter include production of 224,800 tonnes, up 2% quarter-on-quarter, reflecting strong operational recovery and consistent plant performance as we operate the expanded Pilgan Plant at a steady state. Unit operating costs, as mentioned, a 13% reduction to $540 per tonne FOB, delivering clear cost leadership and highlighting the operational leverage of our optimized production platform. As it relates to pricing, a 20% uplift in realized pricing and a 30% increase in revenue, resulting in positive cash margin even as we continue to make modest investment in our growth and improvement programs. Importantly, this performance marks a disciplined and confident start to FY '26, validating our strategy of building scale, efficiency and flexibility to capture margins through the cycle. Now with that, I'll now hand over to Brett to take a deeper look at the operation.
Brett McFadgen: Thank you, Dale. If we move to Slide 5. Starting with safety, our 12-month rolling TRIFR was 3.08 at the end of the September quarter. We also achieved 2.95 quality safety interactions completed per 1,000 hours worked, well above our target of 1.6, demonstrating strong leadership engagement in promoting a positive safety culture. This outcome reflects the ongoing work we're doing to build and strengthen our safety culture across the site. While this improvement is encouraging, we recognize there's always more work to do to ensure every team member goes home safe and well after every swing. Moving to Slide 6. The September quarter delivered strong disciplined operational outcomes across mining, processing, cost and sales performance. Total material moved increased due to improved operational efficiencies. The transition of the mining fleet to the owner-operator model is ongoing, supporting greater cost control and flexibility. Processing. Lithium recovery of approximately 78% demonstrates the sustained benefits of the P1000 expansion and the reliability of our processing platform. Our operating strategy of maximizing contact ore feed through effective utilization of the ore sorting capability is delivering expected unit cost benefits. The proportion of contact ore processed will be progressively increased over the remainder of FY '26 to leverage our ore sorting capability and maximize unit cost reductions. Together, these initiatives across mining and processing continue to unlock more capital efficiencies and lower unit operating costs. A unit FOB cost of USD 540 a tonne or USD 353 a tonne delivers a 13% reduction on the June quarter, a significant improvement driven by scale, efficiency and our optimized operating model. While the Pilgan plant now operating in steady state, we've delivered on our vision of a larger, more efficient and lower cost operation. The expanded platform provides us with a greater operational flexibility, improved resource utilization and the ability to adapt to changing market conditions. Most importantly, this transformation positions us to capture margin through the cycle, enabled by industry-leading ore sorting technology, improved efficiency and strong cost discipline. Thank you. I'll now hand back to Dale.
Dale Henderson: Thanks, Brett. Moving now to Slide 7. PLS has built a portfolio of strategic growth options designed to drive long-term shareholder value through flexibility, diversification and market responsiveness. The Ngungaju processing plant remains in care and maintenance for FY '26, providing immediate low capital restart capability when market conditions improve. This is a unique source of latent capacity and optionality within our portfolio. Our P2000 feasibility study is progressing well, assessing the potential to expand Pilgangoora's production capacity to more than 2 million tonnes per annum. Study outcomes are expected in FY '27 with the development timing dependent on successful technical results, funding readiness and, of course, a sustained improvement in lithium pricing. In Brazil, drilling continues and study optimization work is advancing with outcomes targeted for the June quarter '26. This program will help define the development pathway for the Colina project and strengthen our presence in one of the world's most prospective emerging lithium provinces. Together, these initiatives demonstrate a balanced portfolio-based approach to growth, leveraging Tier 1 assets, global reach and disciplined capital allocation to create value and optionality through the cycle. Moving now to Slide 8. Our chemical strategy continues to advance, providing exposure to value-added lithium chemical products and enhanced supply chain diversification. As it relates to P-PLS, our joint venture continues to make steady progress with customer certifications. Production has temporarily moderated to batch processing, reflecting near-term softness in the South Korean battery sector following reduced U.S. EV incentives and higher tariffs during the quarter. Encouragingly, P-PLS, our joint venture, is receiving interest from a number of new customers across existing and additional geographic regions, particularly those seeking to diversify lithium chemical and battery supply chains outside of China for EV mobility and energy storage applications over the medium term. Moving to midstream. Construction of our Mid-Stream Demonstration Plant remains on schedule with completion target for the December quarter this year. This project will provide valuable technical data and commercial insight to inform future midstream participation opportunities. Lastly, relating to our Ganfeng partnership, work on the joint -- downstream partnering study with Ganfeng has progressed during the quarter. More than 1,000 industrial sites have now been assessed with detailed evaluation continuing on a select few. We are in discussion with Ganfeng to extend the agreement's sunset date to December '27, providing additional time to assess market conditions, shortlist sites and the overall investment case. Together, these initiatives demonstrate a measured capital disciplined approach to downstream integration, building capability and partnerships today that will position PLS for greater diversification and value capture across the lithium supply chain in the future. Now with that, I'll now hand over to Flavio for an overview of our financial performance.
Flavio Garofalo: Thank you, Dale. Good morning, and good evening to everyone joining us today. Please turn to Slide 10 for a summary of the group's key financial metrics for the quarter ended 30 September 2025. The September quarter delivered strong financial results, demonstrating the operational leverage of our optimized Pilgan plant across all key metrics. Group revenue of $251 million was 30% higher quarter-on-quarter, driven by a 24% increase in average realized price to USD 742 per tonne for SC5.3% and stable sales volumes. This demonstrates our ability to capture improved market pricing while maintaining operational consistency. On the cost side, FOB unit operating costs decreased 13% to $540 per tonne, with CIF unit cost also down 11% to $645 per tonne. This improvement reflects the benefits of higher production volume and scale efficiencies delivered through our expanded platform, along with ongoing optimization initiatives. Our cost reduction focus is now embedded in the culture at PLS and is driving strong performance across all areas. We closed the quarter with a cash balance of $852 million, providing financial flexibility for strategic opportunities and maintaining our balance sheet resilience. Turning to Slide 11. Slide 11 shows a cash flow bridge for the September quarter. During the September quarter, our cash balance declined by $122 million from $974 million to $852 million. This reduction was primarily driven by capital expenditure of $78 million and working capital time effects. Working capital movements included approximately $50 million in customer receipts due in the early December quarter and $32 million in final pricing adjustments on the June quarter shipments. Cash margin from operations of $8 million was supported by improved pricing, but impacted by these timing effects. Cash margin from operations less mine development costs and sustaining CapEx was negative $19 million. The capital expenditure was $78 million on a cash basis and $55 million on an accrual basis, comprising infrastructure and projects of approximately $28 million, mine development of $20 million and sustaining capital of $7 million. Despite these working capital impacts, our balance sheet remains robust with total liquidity of $1.5 billion, positioning us well to navigate the current market conditions and invest strategically through the cycle. I'll now hand back to Dale.
Dale Henderson: Thanks, Flavio. Turning to Slide 13. Global geopolitical dynamics continue to highlight the strategic importance of secure and resilient critical mineral supply chains. PLS is actively contributing to the policy discussions, from recent participation in the Austrade Critical Minerals Delegation trip to the U.S. to consultations on the proposed strategic reserve and through direct engagement with policymakers in Canberra. Next week, I'll represent PLS at the APEC CEO Summit in South Korea. This is another opportunity to help position Australia as a reliable low-cost supply of critical minerals to global markets. We welcome the Commonwealth government's continued commitment to developing Australia's critical minerals sector and will contribute to -- and we will continue to contribute to the policy discussions shaping its long-term success. Australia has an incredible opportunity to expand its role in the global lithium and energy transition supply chain. But the race for market share is well underway. Other jurisdictions are moving fast with coordinated policy and public investment to attract capital and downstream manufacturing. To remain competitive, Australia must match that ambition through targeted investment and shared infrastructure that lowers the cost for all across the industry and helps secure our position in this global race. Turning to pricing. Conditions remain volatile but improved from the prior quarter with both spodumene and lithium carbonate spot prices recording double-digit gains. During my recent visit to China last month, every one of our customers reiterated confidence in the long-term outlook and expressed strong interest in securing additional supply from PLS. That continued demand and engagement underscore confidence in the sector's fundamentals and the prospectivity of our product supply. Moving to Slide 14. Now turning to demand. Lithium fundamentals remain robust. Global EV sales continue to expand, up around 9% quarter-on-quarter and 26% year-to-date, with penetration now approaching 30% globally and more than half of all new vehicles in China being EVs. Battery energy storage installations are also accelerating, up nearly 40% year-on-year, strongly supported by China's rapid renewable energy build-out. From a policy perspective, China's supportive regulatory framework continues to underpin domestic storage growth. While recent U.S. tax credit changes may create short-term noise, this doesn't alter the long-term global demand trajectory. In short, the demand story remains intact and PLS with its 100% ownership model and strong balance sheet is positioned to capture full benefit as markets recover. Moving to Slide 15. Battery energy storage is now the fastest-growing segment and lithium demand rising just 3% of total consumption in 2020 and around 17% today according to BMI. BMI's latest forecast projects about 323 gigawatts of new BESS installations in calendar year '25, 50% growth year-on-year. If achieved, this is an extraordinary growth rate. China remains the main catalyst. In September, the National Development and Reform Commission released a major action plan targeting 180 gigawatts of a new type of energy storage by '27. This represents more than USD 30 billion in new investment and 140% increase from China's installed base at the end of calendar year '24. At the same time, a second demand driver is emerging, the rapid build-out of AI and data center infrastructure. These facilities require large-scale instantaneous power support, making grid-connected BESS a critical enabler of reliable infrastructure. Recent announcements from Google, NVIDIA and Meta illustrate this trend with each committing tens to hundreds of billions of dollars to new AI-driven data center capacity. McKinsey & Company recently projected that global data center investment will reach nearly USD 7 trillion by 2030 with more than USD 4 trillion allocated to computing hardware. That level of capacity -- sorry, that level of capital intensity underscores how central data center resilience and therefore, dependable power and storage is becoming to the global economy. Together, policy-driven renewable storage expansion and the digital infrastructure boom are expected to contribute significantly to continued growth in lithium demand, a dynamic that reinforces PLS' long-term opportunity to supply and partner across the global energy storage value chain. In summary, BESS or B-E-S-S demand is being driven by 2 significant emerging drivers: one, aggressive renewable energy storage policy, particularly in China; and two, the rapid expansion of digital infrastructure. Together, these forces are reshaping the energy and technology landscape, underpinned by strong long-term fundamentals for sustained lithium demand. The broader lithium market continues to demonstrate resilience and depth with total demand growing at around 30% CAGR since 2020. This, of course, is driven by accelerating electrification across mobility, energy storage and emerging technology sectors. While regional policy changes may create short-term noise, the global trajectory remains firmly positive. For PLS, this environment reinforces the strength of our strategic positioning and customer relationships across key markets, giving us the agility and confidence to navigate near-term volatility while capturing long-term value as the industry expands. Lastly, for my closing comments, I'd like to leave you with a few key reflections. The September quarter marked a strong and disciplined start to FY '26, confirming that the expanded Pilgan plant is operating in steady state with improved efficiency, lower cost and consistent performance. Financially, the business remains robust. Underlying operating cash flow was positive after adjusting for sales timing impacts, demonstrating our ability to generate cash even in a volatile pricing environment. We remain on track to deliver our FY '26 guidance, reflecting the strength and resilience of the platform we've built. Near-term pricing remains volatile, but the long-term fundamentals are unchanged. Structural growth drivers from electrical vehicles to stationary energy storage continue to strengthen and current prices are not -- and current lithium prices, I should say, are not incentivizing new supply, which suggests tighter markets ahead. With a scalable technology-enabled operating base, a strong balance sheet and a globally diversified growth portfolio, PLS is well positioned to lead through the cycle and capture value as market conditions improve. As the largest 100% owned and operated hard-rock lithium producer, every price improvement flows directly to our bottom line, providing strong leverage to any recovery in lithium pricing. Our confidence is anchored in what we can control, disciplined execution, operational excellence and strategic agility, the hallmark that define PLS and make us a partner of choice in global supply chains. Now with that, I'll hand back to Maggie to open the floor for questions. Thank you, Maggie.
Operator: [Operator Instructions] Our first question comes from the line of Jon Sharp from CLSA.
Jonathon Sharp: First question is just on the uplift in recoveries. You averaged -- in FY '25, you averaged 72% this quarter. We saw quite an uplift to 78%. You've recently commissioned the ore sorters. Can you just quantify how much of that improvement was directly attributed to the ore sorters versus anything else? And do you expect recoveries to continue to rise potentially into the 80s percent as you sort of iron out any issues with those ore sorters?
Brett McFadgen: Yes. Thanks, John. It's Brett here to answer that question. And yes, the recoveries have been attributed to the work that we did with the P1000 and the P680. So ore sorting plays a tremendous part in that, but it's not limited just to the ore sorting. That's been the big lever, but the site team and corporate technical team have been working on a range of initiatives through the rest of the circuit there that are working in combination with the ore sorting. What we will be doing, though, in the next quarter and then in the next half is increasing our contact ore ratio and really leveraging the ore sorting circuit just to try to flex that cost in the mine right through to the mill and get those cost efficiencies. So recoveries are always a big focus of us, but I wouldn't be expecting them to get into the 80s we are getting closer. And certainly, with our geometallurgy work, we're well on track to make the most out of our recovery circuit.
Jonathon Sharp: Okay. Just second question, I know you've answered this before, just on Ngungaju. And I know you've said that you expected to remain in care and maintenance in FY '26. But can you just remind us of what price signal or duration of price strength would trigger a restart there?
Dale Henderson: Yes, John, thanks for revisiting that one. So we haven't given a price guidance around that. But really, the way we -- what we need to see is obviously a considerable lift from current pricing, probably something north of USD 1,200 per tonne. But more importantly, we want to make sure that, that's sustained. But as I say, we haven't picked a threshold value on that.
Operator: Next question comes from Hayden Bairstow from Argonaut.
Hayden Bairstow: Great operating result. I just wanted to touch on the ore sorter a bit more. Can you sort of give us some rough metrics when you run 1 million tonnes through that, are you getting a modest grade uplift as well into the process plant. So what does that -- what does the 1 million tonnes through the ore sorter provide you with feed for the actual mill?
Dale Henderson: Yes. Thanks, Hayden. That's a -- yes, that's quite a complex question that I could sort of say depending on what we're feeding it. But that is a large part of the work that we're doing with the geometallurgy to make sure that we're getting that blend right. So we're maximizing those ore sorters, and we're getting the cleanest feed that we can through to the plant. So it's not always a strict percentage, but what we're doing is really looking at what's coming out in the mine plan, how do we optimize that through the ore sorters and make the best feed for the plant.
Hayden Bairstow: Yes. Okay. Brilliant. And then just on the product grades moving around a bit. Just keen to sort of understand who's taking all the product at the moment. I presume there's a little bit of spot sales going on. But is the movements in the grade reflecting who you're selling it to each quarter? Or is it just more what's coming out of the back end of the plant?
Dale Henderson: Yes. It's more of the latter. It's not related to customer requirements. And as it relates to where is the flow of sales going to. At this moment in time, it's largely offtake, while we had a little bit of spot, but not a lot. But yes, the grade fluctuations are not driven by customer requirements.
Operator: Next, we have Rahul Anand from Morgan Stanley.
Rahul Anand: I've got 2 questions. Look, the first one is on POSCO and your P-PLS JV. Obviously, you've pared back some of the volumes going into that contract to [ 150 ] this year, just given the ramp-up in demand for hydroxide, as you've mentioned in the release. That contract sits at over [ 300 ] going into future periods, [ 315 ] to be precise. So just wanted to understand the makeup of that contract. Is that take-or-pay? Is there flexibility within that? And I mean, how are you thinking about that option that you have coming up to buy into that plant? That's the first one. I'll come back with the second.
Dale Henderson: Yes. Thanks, Rahul. So as it relates to the offtake requirements, we -- and across all of our offtakes, we finalize sort of the year ahead in advance of the year we're heading into. So we do that across the board, including with our joint venture partner: P-PLS. So -- as sort of outlined in the release, so we've adjusted those volumes for the year ahead. And of course, bearing in mind that there's sort of 2 things at play. This is about bringing online and introducing a whole new chemical facility in a new market. So as per our releases, there's been a lot of development around qualifications, which a lot of that is sort of serving into new growth markets, in particular, the U.S., that's part of it. The other part, which is less of a bearing is obviously ramp-up progress, which we're quite comfortable with. But it's really those 2 things which are guiding volumes. The team is in the thick of the planning process right now for the budgets and outlook for next year. So there could be some further adjustment to come. As it relates to the equity election option that we have coming up to go from 18% to 30%, the timing of that is not due until July next year, which in the lithium industry is a very long time away. So between now and then, we'll continue to monitor the market and take a view of what we want to do close to the time.
Rahul Anand: Got it. Okay. Look, -- and just on the second one, I wanted to touch a bit more on the recoveries. I guess, the missing piece of the puzzle here is obviously the head grade that went into the plant for ore processing, and I think that's what Hayden was alluding to as well in terms of his question. Are you able to give a bit of a color perhaps on how that plant grade changed given the elevated recoveries because obviously, just trying to figure out sort of how the recovery performance goes for the rest of the year. You flagged that recoveries will reduce. So I just wanted to kind of square that circle, if that's possible.
Brett McFadgen: Yes, sure. The head grade, we weren't high grading, just to make that clear that, that was not an intentional high grading of the mill feed. Mill feed was no different to it has been and also just part of the mine plan. The recoveries will take a slight impact, but mainly for the -- more of the contact ore that we're intending to feed over the next quarter. We really need to maximize those ore sorters to take as much of the contact ore around the main ore body as we go through our mine rather than stockpiling it and rehandling it later. So that's the bigger impact to the recoveries.
Dale Henderson: I might just add to Brett's commentary in the space. Look, obviously, an absolutely cracking lithium recovery result. And as mentioned, a record for us. And as to how that got achieved, there's actually multiple processing levers, which have been worked on simultaneously by Brett's team. And across several, we've had fantastic progress. And it's a real credit to Brett, his team, the operating team and the projects team. And just to rattle off a few, as it relates to the processing plant, the ore sorting, of course, gets a lot of focus, but it's not just that. There's a series of online analyzers at the front of the circuit, the back of the circuit. Separate to that, the team has been working on different reagent regimes. There's also different monitoring systems in the float circuit, some optical type gear, which has been deployed. There's been further work around tying mineral variation, in particular, crystal size and grind size in the circuit and a new level of sophistication has entered the operating strategy. So the sum of all of these things is contributing to the improved results that you see. And if I just circle back to the idea of to what extent did you scale up contact or not, that answer is complicated, and it depends where you're at in the mine plan. It also depends what stockpiles are available or not available. So in short, it's a complex equation with a lot of subcomponents summing through to the result that you see. So I appreciate that's a longer explanation, but this is the art and the science that the team have been working on for years.
Operator: Next, we have Austin Yun from Macquarie.
Austin Yun: Really good operational results against the backdrop of a tightening lithium market. Just a follow-up question on the Ngungaju plant. In update, you expect the plant to remain in care and maintenance in the financial year '26. I'm just keen to understand the rationale and thinking behind it. Does that mean you don't believe the price is going high up and fast enough in the next 9 months. So the base case is care maintenance? Or it's actually because you believe you can squeeze a bit more from the current Pilgan plant given the good performance and also really well. I'll circle back.
Dale Henderson: Sure. Thanks, Austin. Thanks for your question. And the short answer is no. I wouldn't read through. That's our view of the market outlook. Austin, as you know, lithium market has got an ability to surprise is what we've seen historically. Given these incredible growth rates, we could well see a pull-through and a rapid turn. All of that's possible. We've seen it before. In which case, we will respond accordingly. So if the market turns rapidly and we think it's game on, well, of course, we'll flick the switch. We'll bring Ngungaju back to life, and our shareholders will enjoy the benefit of that. So yes, so don't take a read through in terms of that type of guidance.
Austin Yun: The second one, just a quick one. It seems like lithium is a hot topic and part of the critical minerals discussion. And do you as Pilbara Minerals expect any support funding or other forms from the U.S. or anything you could share on your recent trip to White House?
Dale Henderson: Yes. So as it relates to our engagement and as I mentioned in our notes, we have been contributing inputting into a number of processes, and we'll continue to do that to support the government's thinking. But it's too early to take any view of where that all heads. Yes, a number of the avenues federal government is exploring. I think they're still really at the early stages of working through what type of support they would like to deploy. But certainly, PLS is at the table and contributing to that. And [ as Brett ] noted, we're at pains to reinforce the need for shared infrastructure. We think this is utterly critical for Australia to become more competitive. When I say shared infrastructure, it's about shared port facilities, shared by all to lower the cost for all. It's about shared power, network power to lower the cost for all. Putting in place these types of infrastructure, that's the role of government. That's what we need to do. So that's top of the list as we advocate the government about the right types of support.
Operator: Next, we have Hugo Nicolaci from Goldman Sachs.
Hugo Nicolaci: Thanks for the update. Obviously, great to see some of the early efficiencies of the mine coming through. I won't belabor the point on the feed grade. I assume that's just going to average down with the mine grade and contact ore strategy. But if I can pick up the P-PLS points, what are you now budgeting in terms of FY '26 hydroxide production relative to that offtake revision? Is it sort of 40% to 50% utilization going forward?
Dale Henderson: Yes. We'll be able to give you a clear answer on that next quarterly update because the refinement of the calendar year plan for next year, the teams and the thick of it. But you can take an assumption based on what we've committed in the release of the 155,000 tonnes.
Hugo Nicolaci: Got it. So in terms of any further losses in the JV or further contributions into it to consider, that's probably something for next quarter as well?
Dale Henderson: Yes, correct. That will flow from the budget process. And look, as it relates to the medium- to long-term outlook, we are very happy about the strategic rationale and our sort of positioning with that hydroxide facility. And you can appreciate, particularly given the rise of our almost aspiration for critical mineral security, we think our joint venture with POSCO puts us in a very, very unique position. So in terms of where we're at today, we're very comfortable about that strategic positioning. And of course, we've got some good runway just to see how the next 6 to 9 months go. So very happy with our involvement there with P-PLS.
Hugo Nicolaci: Yes, makes sense. And then maybe just one on -- given the price volatility in the quarter, how should we think about any provisional pricing impacts that come through this quarter?
Dale Henderson: Do you want to take that?
Flavio Garofalo: Yes, I'll take that. Yes, in terms of -- we've obviously seen an uplift in pricing in that September quarter. We will expect to see some gains, which will flow through to the December quarter, which obviously we'll benefit from. During the September quarter, as mentioned, we took a $32 million hit, which was provided for in the June accounts. So we had that number there. So moving forward, I think we want to see some benefits coming through.
Hugo Nicolaci: Got it. So in terms of just the timing of when that price peak, you don't have some unwind of that going forward?
Flavio Garofalo: No, we'll expect to see some of that come through in the December quarter. But yes, essentially, most of that will crystallize in the early part.
Operator: Next, we have Levi Spry from UBS.
Levi Spry: Can I just explore these many discussions you're having with government bodies and things like that on strategic reserves and potential government support. What role, if any, do you think floor pricing could play? Obviously, the context is MP and that obviously seems to be getting a bit more airtime. But in your discussions, what role do you think it could play?
Dale Henderson: Yes, Levi. So at this stage, we've just been inputting our ideas to government and in particular, the group task with thinking through the strategic reserves. So they're very much in input mode. And of course, they're taking views around for pricing and what could that mean and the pros and cons. And as to yes, the idea around full pricing. Look, devil is in the detail. And I think if deployed the right way, there could be positives, but equally, there could be bad unintended consequences if not rolled out the right way. And I appreciate there's others in the market who have been vocal about that. And of course, that's all going into the thinking though as government considers what support they'd like to deploy. But as I say, for us, we've been very much advocating for the shared infrastructure aspect. We think that's a very clear cut, sensible investment case and hard to dispute.
Levi Spry: Yes. Okay. And maybe I should know this, but what's the timing of all this coming to a head.
Dale Henderson: That's in the government's hands. They haven't provided publicly an outline as to their timing. So we'll wait and see. We're not holding our breath.
Levi Spry: And just the last one, just to come all the way back to recoveries. Previously, you said mid-70s haven't used. So isn't this a material step up? How should we consider -- think about the long-term number in our models? Should I be tweaking it up a couple of points?
Brett McFadgen: Yes, the life of mine recoveries, their levies are in the mid-70s. We've in this quarter, corresponding quarter in FY '25 is also in 75s. So we're always going to be trying to push the recoveries. It's the best lever that we have. But at the moment with all of the good work that we've done that Dale touched on, and we're continuing to lever the contact ore. That's the main variable that is going to change for the next quarter and half year.
Dale Henderson: And, Levi, I'd just to add, look, maximizing lithium recoveries, this is what the team is here to do. And I love the idea that if we could eke up that long-term average expectation, that would be obviously incredible in terms of value lift and we'll be able to reset the reserve and a whole bunch of flow-ons would flow from that. So that, of course, remains the central aim. But what we need to do is we're really into the process of really starting to sweat and leverage the full power of this new platform we've built. And yes, early signs are really positive. But we're really going to get more runs on the board and get more data processed and -- but yes, it will be fantastic as we've got more runs on the board to look at resetting those long-run expectations, but too early to do that.
Operator: Next, we have Glyn Lawcock from Barrenjoey.
Glyn Lawcock: Two questions. Just -- maybe just on offtake and price floors. What about industry discussions? Is there any probability of price flows with industry participants rather than government? And we've seen that in the past in the lithium industry, just if they want new supply non-China, is that an alternative?
Dale Henderson: But to date, I haven't heard much about around that in terms of coming together for a shared approach. Obviously, any of those discussions would have to be handled, obviously, with a great gear given various anticompetition laws depending where in the world those groups or domicile. But I'm not aware of any of those types of discussions. But I'd also add that in terms of the structure of the market today, it is very much a global market. You've got some supply from all continents in different forms. I think the probability of alignment across that supply is pretty unlikely, but you never know.
Glyn Lawcock: So you don't think you could see a price floor to get Ngungaju restarted with a car manufacturer or a battery manufacturer. That's not something you contemplate.
Dale Henderson: No, we would -- the door is open for that. But yes, if a buyer would like to do that, and there has been overtures of that. But I'll believe it when I see it, but the door is open.
Glyn Lawcock: Okay. And then maybe just staying on Ngungaju. With all the benefits you've now seen through ore sorting, contact ore, everything for Pilgan, how much of that can you translate through to Ngungaju? Like would it be a bit of capital you need to spend? Or can -- what you've got benefit Ngungaju when you do finally come to turn it on? Just trying to think about all your learnings that you've got now, how we could do a lot better with the Ngungaju plant, get the cost down, volume up?
Dale Henderson: Great question. Let me start and Brett, you might want to follow in on this one. Yes, the short answer is, yes, we are considering what knowledge transfer we could go from the Pilgan to Ngungaju plant. And we have been sort of waiting to sort of ramp up the Pilgan and start to sort of sweat the asset for the purpose of really being able to have confidence in what the benefit delta is. And so we're increasingly moving to a position where we can start to do the evaluation on the investment case at Ngungaju. But given those units and the materials handling complexity, it's not straightforward to augment that into an existing circuit. There's a lot to sort of work through. So it's complex and there's capital intensity involved. So there's a fair bit to work through to work out, is it worth the investment?
Glyn Lawcock: Yes. Is there a time line.
Dale Henderson: There's not a time line at the moment. But the other thing, Glyn is that a lot of the downstream benefits that we're seeing with the ore mineralogy and the flotation chemistry is directly applicable to Ngungaju. And so we can transfer that knowledge straight in there and obtain the benefits. And that's the beauty about having the 2 plants side by side is that we can leverage what we learned in one take directly into the other. And yes, we certainly -- there'll be some significant benefits that we can directly transfer from the Pilgan expansion.
Operator: Our next question comes from the line of Daniel Roden from Jefferies.
Daniel Roden: Just wanted to, come back to the recoveries. And I think I just wanted to labor the point and clarify that the recovery that you're reporting doesn't account for the ore sorting losses or rejects. And I guess, how should we be thinking about accounting for this? So if I look at your numbers, if I'm just taking your reported mines and your reported mills, if I forecast that out and take your numbers into -- over the next -- into perpetuity, would there be a disconnect there? And I just see my, I guess, ROM stockpiles build because it's not accounting for, I guess, the ore sorting losses. And so, I guess, where I'm trying to get at is the ore sort of? What's the reject recovery factor that we need to be? What are the guardrails that we need to be assuming there?
Brett McFadgen: Yes. Thanks, Daniel. The -- I guess, those guardrails are ever changing at the moment as we're leveraging up the contact ore. So the level of rejection is highly dependent on what level of that contact ore that we put in the front end of the ore sorters. That material actually goes back to -- into the mine. So it's prior to the crushed ore stockpile. So the feed grade that we report there is from the crushed ore feed grade forward. So it's pretty hard to kind of give a number at the moment, particularly since we're ramping up the contact ore. So it's -- yes, it's a bit of work in progress at the moment?
Dale Henderson: Yes. So just to clarify, so there is -- from a financial modeling perspective, the lithium recovery is what we've been able to recover from the mine of what's in situ. Now the fact that we've added ore sorting or various other process leaders does not change that methodology. And the whole idea of ore sorting is it's really for 2 aims, just enable more extraction and enable more concentration to maximize lithium recoveries. So yes, is there some additional exit streams? Yes, but this is all for one aim is actually to improve that value. So you don't need to allow for any additional complexity in terms of how the mine was modeled pre-ore sorting. Hopefully, that clarifies. Daniel?
Daniel Roden: No, definitely. Just -- I think I'm just being conscious that we're not on a forecasting perspective over accounting for [ ROM stockpile ] build is kind of where I'm coming from. But maybe just bringing it back to you, you kind of mentioned that, I guess, from next quarter, you're going to start increasing that contact ore feed. How should we think about that in terms of, I guess, fresh ore mining volumes? Are you going to be leveraging your stockpiles a bit more and decreasing, I guess, mining activity from next quarter? Or is that more contact from the fresh ore feed that you're going to leverage on?
Dale Henderson: Yes, it's more of the contact ore from the fresh feed around the peripheries. So as we get further down in the central pit over in our East pit, we start to get more of that contact ore. So rather than stockpiling it, we're intending to use it, which will allow us to get the economies through the mining fleet as well.
Daniel Roden: Okay. Perfect. And if I can, just one more for me. But with regards to the P-PLS, what's the utilization being there? And I guess if you run it at full noise, like how close to nameplate would you be running out?
Dale Henderson: So from memory, Daniel, on that one, the first train that brought up on has been brought up to close to full utilization and whereas the second train that have been purposely moderating it as a function of the sales changes. So I have to double check on this. I'm pretty sure both in terms of the sort of throughput rate of being run up to full throughput. But as I say, the utilization levels are just different at the moment.
Operator: Last question from the audio before we move on to the webcast. We have Matthew Frydman from MST Financials.
Matthew Frydman: Can I ask a question on the cash burn during the quarter? Obviously, you ran ahead of guidance in the quarter, but you're highlighting that you're expecting upward unit cost pressure from here. And obviously, the cash position went backwards. So just wondering if there's any further step change necessary in your view to stem that cash burn outside of waiting for prices to improve, whether that maybe looks like a further change to the P850 operating model, whether there's any sort of discretionary CapEx that you can take out across the various project streams? Or are you happy to operate at kind of steady state as you've outlined and use your cash balance and your debt liquidity as required to continue funding operations?
Flavio Garofalo: Matthew, thanks for your question. Look, the cash burn for the period was really a function of cash flow timing. As I pointed out, we had some provisional pricing adjustments, which we actually booked $40 million for in the year-end accounts. We crystallized $32 million of that in the September quarter. And then we had high receivables at the end, which didn't come through of $50 million. So it was purely a timing impact for the period of the September quarter. Moving forward, we don't expect any material changes. So it's just purely a function of timing between the quarters.
Matthew Frydman: Yes. Okay. I mean your cash margin from operations was negative, understanding that there were some receivables, but you're going to get receivable movements from quarter-to-quarter. And obviously, there was growth capital spend, interest and leases and other spend, which obviously weighed on that cash balance to bring it down by $122 million quarter-on-quarter. So it's not necessarily a problem that isn't going to repeat in future quarters outside of price. So just wondering if you guys are happy for that situation in terms of continuing to lean on your existing balance sheet and liquidity or whether there's any other further step changes operationally to deliver?
Flavio Garofalo: Yes. I think just to add to that, obviously, as part of our cost smart measures, we'll have further cost discipline and cost reductions moving forward. And we'll be very disciplined in terms of managing our cash balance as part of maintaining our strong balance sheet moving forward. And there are some other opportunities in terms of timing from a capital perspective that we will look at. And we'll obviously look at this through the lens of the lithium price as we move forward through to the December quarter as well.
Dale Henderson: And Matthew, probably just add a few points a good one and although there's some enthusiasm returned to the sector of late, at the end of the day, the price appreciation we've seen is still well below the long-run requirements of the industry. And so depending on which analyst you choose, that range is from USD 1,000 per tonne to USD 1,600 per tonne with an average of about USD 1,300 or so. Of course, the prevailing price is well below that at this time. So for PLS, what we've done is we set the business up for this low-cost environment. So to your question, we're comfortable with the way we've configured the business. We've optimized for lowest cash burn here maximizing contact ore. We've got a very strong balance sheet, et cetera, et cetera. We are set up to last a longer storm if that is to eventuate. However, of course, given the strong growth signals, et cetera, et cetera, where this tightness is coming, and that's what really sets up what we think is the big opportunity for our shareholders.
Operator: Now I'll pass to James for webcast questions.
James Fuller: Okay. Thank you. Dale, some questions online here. Does collaborating with Ganfeng for the study on downstream processing rule out the U.S. as a possible site for projects?
Dale Henderson: The short answer is no. As a large operator with an incredible unallocated profile ahead across our Australian asset and Brazil asset, we're able to do multiple downstream collaborations if that's what makes most sense to our shareholders. And we're not ruling out any jurisdiction or counterparty.
James Fuller: Dale, what is your response to Trump's Critical Minerals deal with Albanese? Could it help sustain Australia's position long term as the world's largest lithium producer? Or are there still challenges to that?
Dale Henderson: Look, I think the announcements that we're seeing between the President and our Prime Minister are incredibly encouraging. At the end of the day, the lithium industry is still young. It needs to grow significantly to support the growth needs globally. And therefore, multiple supply chains need to be built out to serve the world. So this type of government-to-government collaboration is fantastic to see, and we need more of it to not only for lithium, but other key critical minerals.
James Fuller: Okay. Dale, what do you mean by targeted investment is needed by government? How would you like that investment to be targeted? I think that's referencing infrastructure.
Dale Henderson: That's right. Targeted is not a polite way of saying, don't blow money on the wrong things. So for us, it's about investing in shared infrastructure to lower the cost for all, which makes Team Australia more competitive on the global stage.
James Fuller: Okay. In regards to Ganfeng JV, what possible countries that we're looking at and any idea on ballpark capacity?
Dale Henderson: So as it relates to what possible countries, of course, we've got a view around what's near the top of the pile. And within that, there is some Asian countries, some Middle East. But I would also say that other parts of the world may welcome into the picture depending on whether the government comes through with larger support or not. So for this reason, we've been deliberately not guiding one area over another because as you've seen in the media, it's a bit of a moving feast. Different support regimes are coming in, and that could really tip the scales from one prospect to another.
James Fuller: Okay. Great. With consistent requests from customers to secure additional supply and a strong demand going forward, is PLS considering more sales on a spot market?
Dale Henderson: Yes. So in terms of our realized price, in terms of the market structure today, I think we're achieving the best of both worlds. And the offtakes, of course, provide long-term security, but the pricing that's used to derive those sales actually comes essentially from the spot market. But we also sell spot sales. And the reason we do that is that supports price discovery. So one supports the other effectively. And we've taken a portfolio approach there where we're largely weighted to offtake, which gives us security with the strongest in the supply chain, whilst also doing a little bit of spot for price discovery.
James Fuller: Okay. Is there any serious threat from African supply?
Dale Henderson: The jury is not out on that. Look, there's a big game being talked from certain areas. In terms of the work we've done understanding that area, the low-cost operations are few and far between would be our view. But further, there is an overlay of risk depending on which country you're speaking to. And we've seen time and time again, different impediments arise, which debilitate those operations and really jeopardize some of those investments and continuity of those operations. And it's for these reasons, we've not sought to look in that direction in terms of our own growth profile. But bringing back to home. At the end of the day, we view this market as a globally competitive market. What we keep focused on is making sure we continue to improve such that we move to the left of the cost curve and position ourselves as one of the best in the business.
James Fuller: Okay. Thank you, Dale. That's the last of the questions. Just a reminder that the presentation is available on our website, and the webcast recording will be available via our website within a few hours.
Dale Henderson: Great. Well, thank you, everyone, for dialing in today. The September quarter was an incredibly strong start to this financial year, building on the FY '25 year, which was obviously a transformational year for the business. We look forward to updating you again next quarter. Thank you for your time.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.